Operator: Please continue to standby for today's conference call. The call will begin momentarily. Again, please continue to stand by and thank you for your patience. Welcome to Lenard's fourth Quarter Earnings Conference Call. At this time, all participants are in a listen only mode. After the presentation, we will conduct a question and answer session. Today's conference is being recorded. If you have any questions, you may disconnect at this time. I will now turn the call over to David Collins, for the reading of the forward looking statement.
David Collins: Today's conference call may include forward looking statements including statements regarding Lennard's business, financial condition, results of operations, cash flows, strategies, and prospects. Forward looking statements represent only Lennar's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could affect future results and may cause Lennar's actual activities or results to differ materially from those anticipated in forward-looking statements. These factors include those described in our earnings release and our SEC filings, including those under the caption "Risk Factors" contained in Lennar's most recent annual report on Form 10-K filed with the SEC. Please note that Lennar assumes no obligation to update any forward-looking statements.
Operator: I would like to introduce your host, Mr. Stuart Miller, Executive Chairman and CEO. Stuart, you may begin.
Stuart Miller: Very good, and thank you. Good morning, everyone. Thanks for joining today. I am in Miami today with Jon Jaffe, our Co-CEO and President; Diane Bessette, our Chief Financial Officer; David Collins, whom you just heard from, our Controller; and Vice President Fred Rothman, our Chief Operating Officer. Marshall Lane, Chairman of the Lennar Charitable Foundation, is also here, along with others. As usual, I will provide a macro and strategic overview of the company. After my remarks, Jon will provide an operational overview, updating some construction costs, cycle time, and aspects of our land strategy. Diane will then provide detailed financial highlights along with limited guidance for the first quarter of 2025. Following that, of course, we'll have our question-and-answer period, and I would like to request that you please limit yourselves to one question and one follow-up so we can accommodate as many as possible. Let me begin. Our fourth quarter was challenging as interest rates climbed approximately one hundred basis points, affecting affordability. Beginning early in the quarter, we observed stalled sales at then-existing prices and incentive levels, necessitating increased incentives, interest rate buy-downs, and price adjustments to activate sales and avoid increased inventory buildup. Consequently, our fourth quarter results missed expectations: new orders were ninety-five short of the nineteen thousand we expected, and our gross margin was 22.1%, short of the 22.5% we anticipated. The shortfall in margin resulted from increased incentives on homes sold and delivered within the quarter. Accordingly, we are moderating our expectations for margins and sales in the first quarter of 2025 as the market adjusts and stabilizes. Overall, the economic environment, which we believed last quarter was constructive for the homebuilding industry, has certainly turned more challenging as long-term interest rates and mortgage rates have steadily risen since our last earnings call. Although underlying demand remains strong and supply is still limited, the combination of wavering consumer confidence and elevated acquisition costs has challenged consumers' ability and a desire to transact. While we continue to see considerable customer traffic, urgency to transact has waned as customers adjust to a new norm. Affordability has long been a limiting factor in accessing home ownership. Inflation and elevated interest rates have hindered an average family's ability to accumulate a down payment or qualify for a mortgage. Higher interest rates have locked in households with lower interest rate mortgages, curtailing the natural move-up as families expand. Rate buy-downs and incentives have enabled demand to access the market while consumers remain employed and confident their compensation will rise. However, higher interest rates and inflation have outstripped many consumers' ability or desire to act.  Strong employment typically correlates with a strong housing market, but higher interest rates sidelined many with a need for home purchases. Nonetheless, incentives and rate buy-downs have driven the market, and we expect demand to reestablish as rates stabilize or moderate, with pent-up demand building against short supply. While demand is restrained by affordability, supply remains constrained due to a chronic housing shortage, worsened by low demand, localized land restrictions, higher impact fees, and elevated construction costs. Local leaders across the country are acutely aware of the housing shortfall. On a final note, issues such as immigration and tariffs have emerged as potential concerns but are not expected to majorly impact us or the industry in the immediate term. Against this backdrop, we maintain conviction in our operating strategy focused on volume. Our execution in Q4 was challenged by rapid interest rate changes, leading to adjusting pricing and incentives to manage inventory levels effectively. The focus is now on maintaining sales volume to correct previously missed targets, though this incurs added margin pressure. For the first quarter of 2025, we expect to sell and deliver between seventeen thousand and seventeen thousand five hundred homes with margins between 19% and 19.25%, acknowledging that approximately half of expectations derive from backlog. We focus on driving sales for robust current cash flow, even with reduced profitability, to maintain managed inventory levels, positioning us for benefit upon market conditions’ normalization. Moreover, we progress toward an asset-light operational configuration, transitioning from a land-heavy company to a land-light manufacturing model, bolstering predictability and growth against a lower asset and risk profile. The strategic rework will align with executing our Rausch Coleman combination's value, affirming volume’s yielding efficient operational structures and dependable cash flow. This strategy supports our ability to systematically procure and develop land parcels for ongoing residential construction efforts. Let me briefly turn back to our operating results from the fourth quarter. While results fell short of initial expectations, they demonstrate strategic consistency given affordability challenges. As mortgage rates rose around 7%, we pursued volume through housing starts while incentivizing sales for affordability. We launched around eighteen and a half thousand starts, closed over twenty-two thousand homes, and addressed community count shortfalls crucially noted last quarter, increasing our community count from 1,283 to 1,447, thus positioning us better for volume at eased absorption rates. We anticipate lower absorption to ease stress on margins, with expected delivery between eighty-six and eighty-eight thousand homes in 2025 representing an 8% to 10% increase over 2024. Sales incentives in the fourth quarter increased to 10.8%, with reduced cycle time and construction costs largely countering affordability constraints and earlier community count lags. Operating strategies resulted in reduced cycle time, efficient cost control, and strategic land transactions, bolstering inventory churn to 1.6. Emphasizing volume has balanced our ongoing cash flow-driven repurchase of 3 million shares for $521 million in Q4, accumulating to a $2 billion yearly return. We close the quarter with $4.7 billion in cash, a 7.5% debt-to-capital ratio, positioning us for strategic motions like the Millrose spin and potential share repurchase continuation. Optimistic yet pragmatic, while challenging, we foresee a sustained supply-demand imbalance beneficial to our trajectory as conditions normalize and stabilize.  With our steady-state operating model of volume and gradual normalized inventory across increasing volume, and the concluding shifts towards a land-light asset configuration, our focus solidifies on margin rationalization and capital efficiency. We anticipate cyclically renewed incentives and normalized margins on stabilized demand will drive bottom-line scalability significantly above current levels.  I am now optimistic about the Millro Spin and Rausch Coleman acquisition, complementing one another to greater broader strategic prospects. Milrose Properties, our subsidiary for facilitating the announced spin, recently filed an SEC registration statement available publicly. Following its anticipated public spinoff, this will symptomize our multi-year transition to an asset-light model, with Milrose standing as the first publicly listed land-banking REIT, handling our home site options, also called the "Hopper," offering timely fully developed home site inventories to Lennar and related ventures. Currently, the Hopper houses integrated acquisition, financing, and land development procedures spanning two decades, meant to steward strategic completeness in meeting diversification among home builders nationwide. Managed externally by Kennedy Lewis Investments, an institutional firm handling $17 billion in AUM, and bearing experience in both Lennar and the broader landscape, Milrose’s operational expenses are entirely covered by Kennedy Lewis via management fees, maintaining a streamlined employment strategy with zero own employees. Milrose is strategically aligned to generate consistent returns through Lennar-optioned home site transfers which yield predictable dividends. Revenue derived from initial deposits and sale proceeds of fully developed home sites are recycled into new land acquisitions, eliminating additional investor solicitations or financing dependency. Accordingly, Milrose offers a constant and organic capital source for Lennar alongside private equity programs, demonstrating an adaptive evolution in our land-light initiative. We expect Milrose to expand through balanced, inorganic opportunities, optimized cash flow generation, and superior equity returns. Milrose receives $5.2 billion of undeveloped land, around $1 billion in cash from Lennar, and further $900 million in land assets via Rausch Coleman acquisition. Lennar retains the WIP inventory and home building operations. We foresee Milrose's long-term partnership facilitating asset-light engagements with broader sustainable capital frameworks, and its $5.2 billion transfer representing a vital strategic link to our land-light strategy to date.  Lennar shareholders will receive an 80% share distribution of Milrose stock, translating to one Milrose share for every two Lennar shares, subsequently disposing of the remaining 20% held briefly for cashless equity exchange possibilities in aligning our homebuilding and operational foundation more closely with strategic growth principles and land asset optimization methods. In brief, Milrose underpins long-term strategic growth endeavors rationalizing cost structures with normalized volumes positioned alongside margin recoveries. On the acquisition front, our historic alignment with Rausch Coleman Homes aligns precisely with our strategic objectives to fortify operating efficiencies from its well-integrated integration into our national setup. Concluding on Rausch Coleman, their established market share excellence expands into significant segments where Lennar's presence is less entrenched, while Ray's Coleman community platform dovetails strategically into our operational execution ethos. Jon’s vast experience in this landscape will guide our continued collaborative excellence. So, informed by our extensive strategic clarifications, restless ambitions, cultural strides from leadership stability synchronized across growth markets, the invigorated regional count, integrated diligence, and exciting combinatorial value alliances convey our fundamental objective of holistic, transformative, iterative adaptability and engagement growth. With this foundational overview, I turn the floor to Jon Jaffe for the operational overview.
Jon Jaffe: Good morning, everyone. As you have heard from Stuart, our focus at Lennar remains on executing a consistent high-volume homebuilding manufacturing model using margin as a buffer against market variability. I will discuss our performance this fourth quarter in areas including sales pace, cost reduction, cycle time, and asset-light land positioning strategies. To start with, our ability to control sales pace is critical to aligning production pace. Although the fourth quarter held challenging sales conditions due to stagnating affordability, resulting in a community per month sales pace of 4.2 homes versus our start pace of 4.6, seeing that mortgage rates remained higher, we adjusted our pricing configurations accordingly to meet the current market reality. Despite early quarter slowdowns, we adapted by implementing incentive strategies flexibly, prominently mortgage rate buy-downs to meet the market affordability where it is. While market conditions did not unfold as anticipated, our divisions dynamically engaged with digital marketing approaches through the Lennar machine to maintain our needs. Thus, an assertive adjustment through digital leads and strategic pricing increased November’s pace to 4.6, enabling us to maintain an unsold inventory of two completed homes per community. Constructing operational credibility, despite the sales challenge previously posed, yields strategic benefits reaped in controlling construction costs and cycle times, through our commitment to even-flow production and manufacturing efficiencies enabled by our core product mapping. Costs reduced by 2% year-over-year despite inflationary pressures throughout, underscoring the efficacy of our builder-of-choice model. Cycle times were reduced by a further two days sequentially, showing the tangible benefits of strategic management, achieving 138 calendar days within our single-family homes, a consistent 14% reduction from last year. The potential ongoing impact of new tariffs on electronic component imports or a change in immigration policies is considered preferentially through our supply chain strategy of switching to domestically sourced timber and minimizing Chinese parts dependency. Externally affecting costs when subjected to tariffs would potentially range around $5,000 to $7,000 per unit if impacted. We tactically pursued equilibrium through strategic partnerships, represented in approximately $1.5 billion land investments underpinning 17,000 home sites within the fourth quarter. The execution focused starkly on asset-light leverage, reducing our land-owned exposure to 1.1 years and controlled homes to 82%, effectively optimizing the inventory churn to 1.6. By synchronizing prompt supply take-downs to our linear nationwide operating model momentum, we position Lennar pragmatically with prospective landbanks and sustained chartered growth. Concluding, an fourth quarter sales pacing difficulty in an adjusting mortgage-backed environment does prompt our adaptive strategy of market-priced selling. This approach, pursuing unflinching, even-flow, consistent high-volume manufacturing will underscore predictable delivery mechanisms leveraging Millrose’ asset light model. My acknowledgements to Lennar associates underpin this sustained trajectory. I will now turn it over to Diane for financial highlights.
Diane Bessette: Thank you, Jon, and good morning, everyone. As Jon and Stuart provided, much operational color, I will highlight balance sheet developments and offer first-quarter estimates. As you heard, Lennar’s volume model maximizes returns through timely inventory transactions at suitable margins, ending fiscal with $4.7 billion cash, no borrowing from our $2.9 billion credit facility, rounding our total liquidity to $7.6 billion.  Pursuing balance sheet efficiencies and capital investment reductions have markedly advanced our land-light strategy, peaking at 82% controlled homesites and 1.1 years owned, a historic low. Owning 85k homesites and controlling 394k, our competitive portfolio strategically primes market presence directed towards a capital-efficient upgrowth strategy. Our Q4 land procurement totaled $2.1 billion, wherein 80% were ready for prompt construction iterations, thereby leveraging our manufacturing model. Moreover, 66% closed homes in Q4 derived from managed land structures, reinforcing our resourceful inventory churn increased to 1.6 while achieving a 29.2% return, aligning cash flow consistency with market adaptability. In debt maneuvers, no senior note redemptions occurred this quarter but subsumed over $7 billion reductions since 2018, truncating our homebuilding debt-to-capital ratio down to 7.5% at an all-time low, maintaining a prudent roadmap with zero debt maturity before May 2025. Complementing equity returns, Q4 marked share repurchases summing 3 million shares, aggregating full-year total purchases over $2 billion, alongside $135 million quarterly dividends. Aggregately over 2024, equity and debt stakeholders’ return approached $3.3 billion with equity rising near $28 billion, equating book value of $104 per share. Looking forward, our robust balance sheet, subdued leverage, and flexibility endorse confidence forging into 2025. First-quarter guidance relies on standardized delivery estimates devoid of Rausch Coleman and Millrose spinoff impacts: - Q1 orders forecast falls between 17,500 - 18,000 homes aligning sales momentum.
- Deliveries expecting range: 17,000 - 17,500, ensuring inventory translates to cash flow.
- Average sales price: ~$410k - $415k maintaining affordable market pricing. - Gross margin aimed at 19% - 19.25%, with Q1 remaining typically the marginal low year starter, shaped through field cost expensing, with anticipated Q1 marginal impact becoming breakeven across combined homebuilding categories. Additional assumptions revolve SG&A expenses within 8.7% - 8.8% anticipating costs conserving sales momentum. Financial service earnings aim breakeven with multifamily sector reflecting $10 million loss. Lennar secondary implies $20 million loss excluding market variation on technology investments. Corporate G&A as percentage revenue estimated 2.6% charitable contributions pegged per home delivery indicates tax rate 24.5%, 206 million average weighted share count guiding EPS between $1.60 - $1.80. Globally, delivering 86,000 - 88,000 homes remains on cue for 2025 pivots, including the acquisitive Rausch Coleman integration feature, allowing matured cash flow alignment. Let me transfer over to the operator for Q&A proceedings.
Operator: Thank you. At this time, we will begin the question-and-answer session. Please limit to one question and one follow-up. If you would like to ask a question, you may press star one. To withdraw your question, press star two. Alan Ratner with Zelman and Associates. You may go ahead, sir.
Alan Ratner: Hey, guys. Good morning. Thanks for all the detail, definitely a lot going on right now, so I appreciate that.
Stuart Miller: You know, Alan, I think it's a combination of factors. I think the consumer, particularly at the entry-level, but even as you move up into the move-up level, acquiring a down payment in today's inflated environment is challenging. Prices have gone up, and although the rate of inflation has come down, it doesn't mean prices have come down. It is harder to accumulate a down payment, and it is harder to qualify for a mortgage. There's a combination of interest rates moving up and down, creating hesitancy in actually making purchasing decisions.  It is indeed a combination of factors, seasonality being among them. It just became more difficult to get buyers to decide to purchase. In our third quarter end, when interest rates trended down, we didn't see the same responsiveness to rates coming down, a shift noticed going into the fourth quarter as interest rates took an upward trajectory. There was a perceived surprise in the consumer side, sideling their participation. It became harder and harder to navigate the components of incentives, rate buy-downs, purchase price reductions, all of which are our tools. Navigating the nuances has become trickier, requiring more effort to incentivize consumers past hesitations.
Alan Ratner: Got it. I appreciate the additional color there. Then my second question is on pace versus price strategy. Given the current market subtlety, is there a lower bound on margin or an upper bound on incentives you're willing to explore to ensure targeted volume is still achieved?
Stuart Miller: We've cultivated conviction that consistent volume eventually benefits both land cost rationalizations and hard cost management. We'll adapt consistently to market conditions, maintaining volume while judiciously moderating incentives and margins as necessary. There's always room in extraordinary market conditions that might demand an overhaul of strategies, but as things normalize or stabilize, steady volume assists sustainability of both market dynamics and cost realization completions.